Operator: Good afternoon. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the Sanmina Corporation’s Fourth Quarter Fiscal Year 2014 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I will now turn the call over to Paige Bombino, Director of Investor Relations. You may begin your conference.
Paige Bombino - Director, Investor Relations: Thank you, Mike. Good afternoon, ladies and gentlemen and welcome to Sanmina’s fourth quarter and fiscal year 2014 earnings call. A copy of today’s release is available on our website in the Investor Relations section. You can follow along with our prepared remarks in the slides posted on our website. Please turn to the Safe Harbor statement. During this conference call, we may make projections or other forward-looking statements regarding the future events or the future financial performance of the company. We caution you that such statements are just projections. The company’s actual results of operations may differ significantly as a result of various factors including the state of the global economy, economic conditions in the electronics industry, changes in customer requirements and sales volume, competition and technological change. We refer you to our quarterly and annual reports filed with the Securities and Exchange Commission. These documents contain risk factors that could cause the actual results to differ materially from our projections or forward-looking statements. You will note in our press release and the slides issued today that we have provided you with statements of operations for the 3 months and 12 months ended September 27, 2014 on a GAAP basis as well as certain non-GAAP financial information. A reconciliation between the GAAP and non-GAAP financial information is also provided in the press release and slides posted on our website. In general, our non-GAAP information excludes restructuring costs, acquisition and integration costs, non-cash stock-based compensation expense, amortization expense and other infrequent or unusual items to the extent material. Any comments that we make on this call as they relate to the income statement measures will be directed at our non-GAAP financial results. Accordingly, unless otherwise stated in this conference call, when we refer to gross profit, gross margin, operating income, operating margin, taxes, net income and earnings per share, we are referring to our non-GAAP information. I would now like to turn the call over to Jure Sola, Chairman and Chief Executive Officer.
Jure Sola - Chairman and Chief Executive Officer: Thanks, Paige. Good afternoon, ladies and gentlemen. Welcome. Thank you all for being here today with us. With me on today’s conference call is Bob Eulau, our CFO.
Bob Eulau - Chief Financial Officer: Hello, everyone.
Jure Sola - Chairman and Chief Executive Officer: Our agenda we have for you is that Bob will review our financial results for the fourth quarter. I will follow up with additional comments relative to Sanmina’s results and future goals. Then Bob and I will open for question and answers. And now, I’d like to turn this call over to Bob. Bob?
Bob Eulau - Chief Financial Officer: Thanks, Jure. Please turn to Slide 3. Overall, the fourth quarter was very good from a growth, operating margin and cash generation perspective. Non-GAAP revenue of $1.69 billion was up 5.2% on a sequential basis and up 12.1% from the fourth quarter last year. Our gross margin came in at 7.9%, which was down 10 basis points from the third quarter and up 10 basis points from the fourth quarter last year. Operating margin increased 40 basis points from last quarter of 4.2%. Non-GAAP earnings per share was $0.61, which was above the high end of our guidance for the quarter. This was based on 87 million shares outstanding on a fully diluted basis. Finally, cash generation was excellent again this quarter with cash flow from operations at $110 million and free cash flow at $89 million. I will discuss cash in more detail in a few minutes. Please turn to Slide 4. From a GAAP perspective, revenue was up 5.1% or $81 million from Q3 to $1.686 billion. We reported net income of approximately $133 million, which resulted in earnings per share of $1.52 for the fourth quarter. This was up relative to last quarter by $1.28. The GAAP results included an incremental release of our valuation allowance against deferred tax assets. The tax benefit recorded in this quarter totaled $87.6 million or $1.01 per share versus the benefit of $21.5 million or $0.25 per share, which was recognized last year. We continue to have a valuation allowance of $362 million associated with U.S. deferred tax assets. And accordingly, this amount is not reflected in our balance sheet. For the year, revenue finished at $6.215 billion, which was up by $289 million while GAAP net income increased by $118 million to $197 million primarily due to the larger tax benefit being recognized this year and very good improvement in operating income. Accordingly, GAAP earnings per share for the year were $2.27 versus $0.93 last year. The restructuring costs for Q4 were $4 million. Going forward, the restructuring costs we expect are associated with real estate that we have on the market to be sold. We expect these costs to be in the range of $2 million to $3 million next quarter. As of the end of the year, we have about $65 million in real estate on the market at list prices after having sold about $93 million of property in the last 5 years. My remaining comments will focus on the non-GAAP financials for the fourth quarter and fiscal year 2014. At $133.4 million, gross profit was up $4.6 million from the prior quarter. Gross margin came in at 7.9%, which was 10 basis points lower than we reported in Q3. Operating expenses were down $5.8 million for the quarter at $62.1 million. This represents a 50 basis point improvement in operating expenses as a percent of revenue compared to Q3. Spending was down this quarter primarily due to lower expected incentive compensation payments, higher vacation taken in the quarter, and containment of other administrative expenses. At $71.3 million, operating income increased by 17% from the prior quarter and 27.9% from Q4 last year. Operating margin was 4.2%, which was a 40 basis point sequential increase. Other income and expense at $7.6 million was up slightly when compared with last quarter and down 12% from the fourth quarter last year. The tax rate for the quarter was 16.2% of pre-tax income, which was in the range we had expected. On a non-GAAP basis, we earned $53.4 million in net income or $0.61 per share. Earnings per share were up 17% from Q3 and up 34% from Q4 last year. On Slide 5, we are showing you some of our key non-GAAP P&L metrics. Revenue was up $83 million or 5.2% from last year. Demand was up in all segments, except multimedia, which was down slightly on a sequential basis. On a year-over-year basis, we were up in all segments other than communications. Industrial, medical and defense continues to be very strong. Compared to Q4 last year, total revenue was up $183 million or 12.1%. Moving on to gross profit, we achieved a 3.5% increase in gross profit in Q4, while gross margin at 7.9% was down 10 basis points from last quarter. We have been very consistent in our gross margin at 7.8% to 8.2% over the last 6 quarters. Our operating profit increased 17% from last quarter to $71.3 million. This was the operating margin of 4.2%. Net interest expense was down slightly at $7.1 million for Q4, but still included some extra interest expense as a result of the debt reduction actions we have taken in the last quarter. I will come back to the debt reduction in a moment. Please turn to Slide 6 where we are providing more information on the segments that we report. The Integrated Manufacturing Solutions segment represents printed circuit board assembly and test, final system assembly and test as well as direct order fulfillment. As you can see from the graph on the left, the IMS segment revenue was up $87 million or 6.8% from last quarter. Our gross margin improved by 20 basis points from Q3. The second segment for us is Components, Products and Services. Components include printed circuit board, fabrication, backplane assemblies, cable assemblies, enclosures, precision machining and plastic injection molding. Products include computing and storage products, defense and aerospace products, memory and solid state drive modules as well as optical and RF modules. Services include design and engineering as well as logistics and repair services. In aggregate, the revenue for this segment was down $3 million or 0.8%, with gross margin down 70 basis points to 10.3%. This gross margin decline reflects lower profitability in the components areas partially offset by better profitability in the product and services areas. Now, I would like to turn your attention to the balance sheet on Slide 7. Our cash and cash equivalents were $467 million, cash was down $85 million from the previous quarter. We used this cash and strong free cash flow to pay off long-term and short-term debt this quarter. We used about $25 million in cash to repurchase 1.1 million shares of our common stock at an average price of $23.62. Accounts receivable were up slightly and inventory was up $13 million both primarily a result of higher revenue for the quarter. Property, plant and equipment was basically flat for the quarter. Other assets increased primarily due to the incremental release of the valuation allowance for deferred tax assets. From a liability standpoint, we continued to have positive results. First we had a $57 million increase in accounts payable during the quarter. This was driven primarily by increased business and better payment terms, which also drove better ending days payable outstanding. From a debt perspective, as of the end of the quarter we have $387 million in long-term debt, which mostly reflects the $375 million of 4.38s 2019 debt we issued in May. During the quarter we committed to retire the remaining $100 million of our 2019 7% senior notes. And this was completed on October 8, because we had committed to make this payment this amount is included in the short-term debt. At the end of the quarter our gross leverage is approximately 1.7. Overall, our capital structure is in great shape and the best it has been 13 years. Please turn to Slide 8 where we will review our balance sheet metrics for the fourth quarter. Cash was down $85 million from Q3, but still very robust. Cash flow from operations for the quarter was excellent at $110 million and net capital expenditures for the quarter were $21 million. This led to $89 million in free cash flow. We expect to return to more normal levels of positive free cash flow next quarter and in fiscal year 2015. Inventory reduction and cash generation are an ongoing priority for our team. Inventory dollars were up $13 million from last quarter at $893 million, while inventory turns were flat at 7.0. Compared to Q4 last year, inventory turns were also flat but inventory dollars were up as a result of much higher revenue. We are showing cash cycle days which combines our cycle time for inventory, accounts receivable and accounts payable. Overall, cash cycle time decreased from 44.1 days last quarter to 38.9 days. This was driven by a 3.3 days of improvement in accounts payable days outstanding and 1.9 days of improvement in accounts receivable day sales outstanding. Inventory days were slightly better than last quarter. We are pleased to see continued progress on our overall cash cycle time. On an annual basis our cash cycle time improved by 7.1 days. In conclusion, our return on invested capital improved to 18.3% for the quarter which was excellent. This was driven by the combination of better profitability and better working capital management. Please turn to Slide 9, I want to take a couple of minutes to reflect on our longer term cash generation and the impact it has had on our capital structure. Cash flow from operations for fiscal year 2014 was outstanding. In fact, in the last four years we have generated almost $1.1 billion in cash flow from operations. During the same four-year period our free cash flow was around $800 million. This cash generation is the driving force behind our ability to reduce our long-term debt and begin to repurchase equity. In the upper right hand quadrant we are showing the decline in long-term debt over the last five years. Over the last five years long-term debt is down $904 million. In the last 3 years we have reduced our long-term debt by $648 million. In the lower left quadrant we are showing our net interest expense over the last 5 years. One of the key benefits of the debt reduction is the lower interest expense we now experienced. This graph shows the great progress that we have made with fiscal year 2014 net interest expense at $29 million which is $81 million lower than fiscal year 2009 and $68 million lower than three years ago. We expect that annual net interest expense will be around $25 million in fiscal year 2015. Obviously, very thing else being equal the lower interest expense enabled us to generate significantly more cash than we did just a couple of years ago. In the lower right quadrant we are showing our gross leverage at the end of each of the last 5 years. We define gross leverage as total debt divided by EBITDA. As a result of the reduction in debt and solid EBITDA over the last 4 years, our gross leverage ratio has improved dramatically. As you can see in this chart, our gross leverage for this period peaked at 8.0 at the end of fiscal year 2009 and stands at 1.7 today. This lower leverage gives us more business and financial flexibility as opportunities arise. With all the progress that we have made in the last four years, the balance sheet is in excellent condition. We expect to continue to generate cash in the coming years and we will be carefully evaluating how to maximize the shareholder benefit of the cash we generate. Please turn to Slide 10. I would now like to share with you our guidance for the first quarter of fiscal year 2015. Our view is that revenue will be in the range of $1.65 billion to $1.7 billion. We expect gross margin will be in the range of 7.7% to 8.1%. Operating expense should be $65 million to $67 million. This leads to an operating margin in the range of 3.8% to 4.2%. We expect that other income and expense will be in the range of $5 million to $7 million. We expect the tax rate to be around 16.5% and we expect our fully diluted share count to be around 87 million shares plus or minus 0.5 million shares. When you consider all this guidance, we believe that you will end up with earnings per share in the range of $0.55 to $0.60. Finally, for your cash flow modeling we expect that capital expenditures will be around $25 million, while deprecation and amortization will also be around $25 million. Overall, we are very pleased with this finish to fiscal year 2014. We executed consistently in fiscal year 2014 and positioned ourselves well for the future. Growth continues to be our number one objective, but it is imperative that we grow with the right kind of business. At this point I will turn the discussion back over Jure for more comments on our target markets and our business strategy.
Jure Sola - Chairman and Chief Executive Officer: Thanks Bob. Ladies and gentlemen let me add a few more comments regarding our business environment. First of all today, I will talk about the fourth quarter a little bit and fiscal year 2014 and I will spend more time talking about the first quarter and the fiscal year 2015. So to recap, fourth quarter and fiscal year 2014 overall I will say this was a good quarter with solid results. We had a stable and a strong demand from majority of our end markets as we continued to diversify our business and our customer base. Operationally, we did a solid execution and as we delivered strong improvements in our operating margins. For fiscal year 2014, we delivered solid and consistent results, good and predictable growth, expanded our customer base and improved the quality of our customers with a better growth potential. Internally, we continue to tune things up, focus on efficiencies and lean structure globally. We continued to deliver right technology and best value solution for our customers. I can tell you today that a year later Sanmina is a lot stronger company and is positioned for a lot better future. Now please turn to Slide 12. We are continuing to diversify our revenue by end markets and customers. As you can see top 10 customers represented 51.7% of our revenue. We also had no customer at 10% for this quarter or a year. Majority of our end market segments grew in the fourth quarter. Communication networks overall for the quarter was stable growth up 3.6%. Overall demand during the quarter was stable. For the year, this segment was down 2.9% slightly below our expectation what we expected a year ago. Industrial, Medical and Defense grew nicely up 7.3%. Industrial we saw strong growth again, Medical overall good growth, Defense was slightly down. This segment on a yearly basis was up 37.8%, a great year in Industrial, Medical and Defense. It was driven by new customer growth and also overall very strong customer base that we expect this segment to continue to do well. Computing and Storage for the quarter grew also nicely at 8.9%. Better overall demand and also the new projects are starting to drive the growth. For the year, this segment grew 10.7%. Multimedia for the quarter was flat, slightly down about 1.7%. We saw stable demand during the quarter as we continue to improve quality of the revenue in this segment. For the year also this segment, multimedia grew approximately 7.7%, so overall nice growth through most of our market segments in fiscal year 2014. Now, please turn to Slide 13. Now, let me talk to you about first quarter fiscal year 2015 outlook by market segments. Bookings for the fourth quarter was positive. So, as we look at the first quarter as Bob mentioned, we are forecasting revenue of $1.65 billion to $1.7 billion. I call this a good start to a New Year as we remain cautiously optimistic of our first quarter opportunities. I’d like to make few more comments. On Communication Networks, we are forecasting for next quartet demand to be flat, overall stable demand. I think we are well-diversified in three segments, Wireless, Networking and Wireline Infrastructure. I will summarize this as good opportunities in this quarter and good pipeline. For Industrial, Medical and Defense segments, we are forecasting to be slightly up. Industrial, we continue to forecasting good demand to continue. For Medical, overall stable demand. For Defense, we are forecasting flat in short term, but the long-term looks more promising driven mainly by new wins. Overall, for this segment, things looked very stable and growing. Computing and Storage, we are forecasting that to be slightly up for the upcoming quarter. I would say overall stable demand as we continue to expand the customer base and good potential in the near future. Multimedia, we are forecasting to be slightly down, short-term maybe flat. As I said earlier, we see good opportunities as we continue to grow new customers and improve better business mix in this segment. Also, let me talk to you more about what we expect for the rest of the fiscal year 2015. I am personally optimistic that fiscal year 2015 will be another growth year for Sanmina. It’s hard to predict global economy, but we believe it will be overall stable and we still expect a slow recovery. We have a strong customer base and positive outlook from majority of our customers of calendar year 2015. I can tell you that Sanmina is in a strong position to continue to win in our focused market segments. Overall, our strategy is working. Few more comments on our strategy for fiscal year 2015. The goal here for us is to continue to stay in our leadership role in our focused markets and with our customers. We will continue to focus on Sanmina’s core strengths and will do it Sanmina’s way focusing on quality of the growth, margin expansion and cash generation. Key to our success always been our customer, so the key going forward is to focus on our customers’ success. We are partnering with the strong customers that have a good and sustainable future potential. We continue to provide leading higher technology solutions products and services from design to order fulfillment, including aftermarket services. Continue to invest in this technology and new technology, product, quality, operational efficiencies, and overall to provide a quality work for our employees globally. The goal here is very simple to maximize shareholder’s value. As we always said, job is not done. There is still lot of leverage left in our existing structure. Please turn to Slide 14. So, in summary, fourth quarter solid results with excellent execution. For fiscal year 2014 I call it good year as we manage the quality of the growth. For first quarter 2015 as I just said, overall demand is stable as we are going to continue to focus on market and customer diversification. For fiscal year 2015, I remain positive about it. We have got a solid foundation to continue to build on. The goal for us is to continue to deliver predictable and sustainable results in fiscal year 2015. Now, ladies and gentlemen, I would like to say thank you all for your time and support. Operator, we are now ready to open the lines for question and answers. Thank you again.
Operator: (Operator Instructions) The first question is from Brian Alexander with Raymond James.
Jure Sola: Hello Brain.
Bob Eulau: Hi, Brain.
Brian Alexander - Raymond James: Hi, Jure. Hey, Bob. A very strong quarter obviously. I just had a question on the outlook, is there anything unusual or temporary in the December earnings guidance that we should consider when we build the models for fiscal 2015? I ask that because historically I think the December quarter is about 20% of the full year earnings if I go back over the last few years and if we apply that kind of math to your guidance for this December, it would suggest that your expectation that as can do close to $3 in EPS for fiscal ‘15. So, before we all get ahead of ourselves, I just thought I would ask if there is anything you wanted to clarify about the December guidance that we should take into account for the full year?
Jure Sola: Well, first of all, Brian as I mentioned in my prepared statement overall, I think we did lot of good things in 2014. We stuck with our strategy, which was really focusing where we are good at, continue to expand customer base that we can have a long-term partnership. We can create lot of value and create a win-win. We are able to accomplish that. We grew nicely in some segments of our business. A lot of the growth in 2014 really came from our new customers, new projects. So, we are in a little bit better position today than a year ago. As I mentioned, economy is hard to predict. I still believe the forecast will continue to be choppy out there. So, we – yes, this first quarter is a little bit better than a year ago or I should say going to be a lot better than a year ago. So, that’s good. But I would like to kind of take one quarter a time. I think as long as the economy cooperates, I believe we are well-positioned to continue to tune things up. As Bob mentioned, lot of positive things that we accomplished both on a financial side and as I mentioned I think we accomplished lot of good things on building a stronger customer relationship and providing a better technology that is needed to grow our business. So, I am optimistic, but let’s be little bit cautious. Bob?
Bob Eulau: Yes, I guess I will add a few things. We do need to be cautious about extrapolating Q1 results to the full year. And as you know Brian, we don’t give annual guidance, because there are always things that develop during the course of the year. It’s our belief our seasonality is changing a lot as the mix of our business has changed. If you go back a year ago, we had more communications business and less on the industrial, medical and defense side. So, we think we are more diversified today than we have been in the past and we think that’s going to have an impact on our seasonality hopefully making it a little less dominated by communications as it’s been in the past. I guess the other comment I would make if you go back to last couple of years in this call at the beginning of the year we had signaled we expected a stronger second half than the first half and I don’t think that’s what we are saying today. We are expecting it to be a pretty solid year and we think obviously Q1 will be pretty solid and we will wait and see how March develops.
Brian Alexander - Raymond James: Okay, sure. If I could just ask one follow-up on the Industrial segment, anyway that you can give us a sense for maybe what the organic growth or maybe that’s not the best word, but the growth excluding some of these big customer asset deals that you have had over the last few quarters and where are we in the ramps of those large programs and should we anticipate that segment to be more volatile than maybe it’s been in the past because maybe more of the growth is being driven by some unusually large ramps?
Jure Sola: First of all I think this segment for us should be more stable going forward at least when I say short-term let’s focus on fiscal year 2015, I will say it’s more stable, the programs that I talked about a few minutes ago, new customers, new projects already ramped more or less in a full ramp – almost full ramp. In those type of new programs there is a lot of tuning up to do, they are not as profitable that they should be in hopefully one of these days, so we expect to make little bit more money in these segments in the future. I think it’s an area that we are really focused. We create lot of value. We add lot of vertical capabilities here from technology point of view in all the components that we manufacture. So we expect this component to be very healthy for us and hopefully more than one year. So, we are pretty optimistic on this segment, lot of work left to do though Brian.
Brian Alexander - Raymond James: Okay, alright. Well, thanks very much.
Jure Sola: Thanks.
Bob Eulau: Thanks Brian.
Operator: Your next question is from Mark Delaney with Goldman Sachs.
Jure Sola: Hello, Mark.
Bob Eulau: Hi, Mark.
Mark Delaney - Goldman Sachs: Hi, good afternoon. Thanks very much for taking the question and nice quarter.
Jure Sola: Thanks Mark.
Bob Eulau: Thank you.
Mark Delaney - Goldman Sachs: I was wondering if you can elaborate a little bit more on the trends you are seeing in the communications end markets, there has obviously been some well publicized weakness from some other comm equipment companies especially those with high exposure to U.S. telecom spending and maybe you can just remind us how your exposure breaks out between service provider, data center and enterprise and then maybe some of the types of programs that you are on that are allowing Sanmina to have better results from some other market participants?
Jure Sola: Yes. Well, first of all I may focus strictly on our customer base. It’s always dangerous trying to sound like I am an expert in communication networks. We have been in this business for many years, actually it’s the bigger segment when we started the company, this is where we grew from. So I know lot of about it. At the same time it tells you how much I you know. A year ago I thought that communication networks will grow year-over-year, well I was wrong, it’s down 2.9%. But if I look at 2015, but first of all, in the short-term I would say this – we have customers that are winning their marketplace. A good thing about our segments, Mark is that most of our customers that we do business with really do business globally. And in a short-term, I would call this stable business for us. Yes, we have a few customers that are down. Fortunately for us, that we also have a few that are up, so kind of neutralize itself. For a year, it’s hard to forecast, but if I had to be a betting man, I would say that this segment for us, it’s going to be slightly up. I don’t know how much up. We will have up and down quarters in it, but overall as I see a lot my customers, I would say they are more optimistic maybe than I am, so let’s see how things shake up.
Mark Delaney - Goldman Sachs: That’s helpful Jure. Thanks for that. And for a follow-up question, maybe you could just talk a little bit about for the September quarter, you came in above what you had guided to, can you just tell us what surprised you that allowed the revenues to come in above your expectations?
Jure Sola: Bob I will leave that up to you a little bit. I will take a break.
Bob Eulau: Yes. I think we are a little cautious, because it is actually related to the question you were asking on the communications side, we were a little cautious, but as Jure said most of the customers came through pretty well and we saw a good strength again on the industrial side, which we are really pleased by. So it was just, I would say a little bit better in several places. Some of our customers really did a little bit better and that’s, as I said that’s where really and if you look at all the big markets for us, were up and so that helped us.
Mark Delaney - Goldman Sachs: Thank you very much.
Jure Sola: Thanks Mark.
Bob Eulau: Thanks Mark.
Operator: The next question is from Osten Bernardez with Cross Research.
Jure Sola: Hello, Osten.
Osten Bernardez - Cross Research: Hey, good afternoon. Thanks for taking my question. I guess just to taking a look at your products and services versus your components business, could you sort of add some color as to what drove the strength within your products and services during the quarter?
Jure Sola: Well, products and services as you can say now it was okay quarter, was nothing great. We could have done little bit better in it. We had some, how do I say it, the mix itself was not the best and we had a few push-outs, but overall this is a segment that we are spending a lot of time in and working very hard. We expect this segment to be doing a lot better than what it is doing today. So, there is a lot of focus on it on components products and services because that’s very key to our success to deliver the numbers that we want to deliver in the long-term.
Osten Bernardez - Cross Research: Because – I asked the question because you commented on the profitability on products versus your – the components business and tied into that, I wanted to know whether it’s some of the strength that you saw in computing and storage came from new IT systems products…?
Jure Sola: It’s definitely on the product side, our storage product is moving in the right direction. We are adding a fair amount of good customers there. So, definitely it’s contributing but it’s not yet big factor, I mean it’s definitely helping out but it’s not a major factor in our numbers yet.
Osten Bernardez - Cross Research: Okay. And so, should we expect the trends that you are seeing in computing and storage to sort of to play out going into 2015 what should – how should we think about that from a full year perspective, I know you don’t provide….?
Jure Sola: Yes. It’s hard to say what’s going to happen in 2015 but I said I think the pipeline is pretty stable. Right now, I think we have got some good opportunities and we are working on a fair amount of new customers. So we expect the segment to do well.
Osten Bernardez - Cross Research: Thank you.
Jure Sola: Thanks Osten.
Bob Eulau: Thank you, Osten.
Operator: The next question is from Jim Suva with Citi.
Jim Suva - Citi: Thank you and congratulations to you and your team there at Sanmina, great progress.
Jure Sola: Thanks Jim.
Jim Suva - Citi: I am more interested in some bigger picture strategy questions to Bob and Jure. I believe it was Bob in his comments he mentioned his priority is for growth, can you help us understand is that organic growth or do you see acquisitions and if so smaller acquisitions or more medium and larger size acquisitions and the reason why I ask is it appears the past year or so you have made a couple of acquisitions that had been fold within very, very well. So I wonder since you balance sheet is probably in the best shape it’s been in many years if acquisitions become more of a focus and probability?
Bob Eulau: Yes. Jim this is Bob, so I will take the first cut at answer. I think it’s going to be both and we have been saying that for a while. We need to make sure that we are growing first of all with the right customers, building the right portfolio of accounts over time and we will continue to look at small acquisitions that are strategic and that are a direct fit with the strategy the way we have articulated it. And if we execute on both fronts I think they will both contribute to growth.
Jim Suva - Citi: And as a follow-up to that, am I correct that when you say small acquisitions these are more kind of current maybe customer assets or adjacent skill sets as opposed to consolidating the industry or even some of the smaller private EMS companies?
Bob Eulau: Yes, that’s correct. And then we really are looking for assets that make sense for our strategy. And we are not that interested in a consolidation as we are frankly not convinced it makes a lot of sense. It’s really a matter of executing our strategy and finding opportunities with that.
Jim Suva - Citi: And finally, is that a higher priority than say stock buyback or how should we think about that?
Bob Eulau: Yes, it really depends on our assessment of the risk and potential return to our shareholders. So, I think we will probably end up doing both by the time all is said and done.
Jim Suva - Citi: Thank you and congratulations to you and your team at Sanmina.
Bob Eulau: Thanks, Jim.
Jure Sola: Thanks, Jim.
Operator: The next question is from Christian Schwab with Craig-Hallum Capital Group.
Christian Schwab - Craig-Hallum Capital Group: Hey, guys. Great start to the year.
Jure Sola: Thanks, Christian.
Christian Schwab - Craig-Hallum Capital Group: When we look at the Industrial, Defense and Medical business up 34% this year roughly $550 million, if we had to categorize that organic growth new programs ramping and then lastly some of the key customer extensions of partnerships, which included purchasing and acquiring some facilities, do you have a rough idea how we should think about that number percentage wise between those three?
Jure Sola: You mean in last year?
Christian Schwab - Craig-Hallum Capital Group: Yes, of the $150 million, how much of that – what percentage of that was driven by organic growth, what percentage was driven by new programs ramping and what percentage was kind of acquiring facilities of customers?
Jure Sola: Yes, Christian I would consider that really, everything is organic growth in that case, because these are the relationship that we extended with basically existing customers, where it’s just like going out there in some cases, buying additional equipment and getting the revenue to fill the plant up. So, I would say most of this stuff is organic growth, I mean, 90% plus is organic growth. That’s the way I look at it.
Christian Schwab - Craig-Hallum Capital Group: I understand that. So, if – let’s can we look at it one other way quick, Jure, and then I will leave it alone. As we look at that percentage of revenue growth if you wouldn’t have purchased extra facilities, is there any way to quantify how much the extra facilities brought versus just new programs?
Jure Sola: Yes, but we don’t – I can’t answer that for two reasons, because that’s not how we look at it. It’s really basically its opportunity that comes – we worked with these customers for many years in both of these cases for many years and you look at okay, what’s – how what is the best to create a real partnership. In some cases, we build a new factory, in some cases, we take over the customer assets and build on that and that’s kind of that’s why hard to say and we don’t – to be honest with you, I don’t want to break it apart, because lot of that is public for competitive reasons. But I think you have to look at this as a organic growth really what we accomplished and it’s really expanding our relationship. We have some great relationship and that’s really the focus of our new strategy. And when even Jim asked the question how we are going to grow, it’s really creating a value satisfying our customers’ requirements so that we can find a relationship that can last for many years in the future and hopefully end of the day make a little bit of money. I think our strategy is really pretty simple, go back to the basics, end of the day you have to make the little bit money, we have to be consistent and we have to return the right shareholders value to our investors and to our employees. We knew that – when we started the company that’s how we build Sanmina focusing on simple things and doing them right. We did lot of stupid things in between and bad economy and bad timing. I think we learned our lesson. We are back to the basics really working around the customer, because key in our type of business, Christian, success is all about building your customers successful. Once we get our customers successful and we are primary supplier, because we are giving the right technology, right solution we win and that’s really our focus right now, not what our competition does, it’s more what we do. So, that’s why we are able to win some of this stuff and I expect we will win in 2015 type of deals like this because of providing the right service, right technology and executing right.
Christian Schwab - Craig-Hallum Capital Group: Well, congratulations on doing that. One last question, Jure, you talked about good potential near-term in Computing and Storage and you used those words or words very similar to that a few quarters ago before the Industrial, Defense and Medical business started growing quarter-over-quarter very nicely. Should we assume that Computing and Storage should return to a growth year in 2015?
Jure Sola: Yes, I would expect that we grew nicely in ‘14. I would as I said earlier unless this whole economy completely goes different direction, this economy as I said stays stable with a slow recovery. I think we will see overall Computing and Storage growth in 2015.
Christian Schwab - Craig-Hallum Capital Group: Great. No other questions. Congratulations again.
Jure Sola: Thanks, Chris. Operator, we have time for one more question.
Operator: The last question is from Amit Daryanani. Your line is open with RBC.
Jure Sola: Hello, Amit.
Bob Eulau: Hi, Amit.
Amit Daryanani - RBC: Hi, how are you guys doing?
Jure Sola: Good.
Amit Daryanani - RBC: Two questions from me. One, I think you made a comment saying your expectations might be a little bit more subdued in comm equipment versus your customers. If you could just flesh that out, because there has been obviously some mix data points from end-market basis on that segment. So, from a linearity basis, from a inventory basis, do you guys see anything that was odd throughout this quarter?
Jure Sola: Well, as I said for this coming quarter, we feel stable. We are forecasting stable demand. I think we are well diversified in this segment between wireless networking and wireline infrastructure. As you know, we are mainly in infrastructure side of the business. We think our pipeline for this short-term has some good opportunities and even a longer term. So, we don’t see unless something happens tomorrow with our customer base, we don’t see anything major.
Amit Daryanani - RBC: Fair enough.
Jure Sola: And Amit, I am not an expert on every little component that goes in this industry. I can only talk about what I am seeing with the projects that I am involved in.
Amit Daryanani - RBC: Understood. And then I guess Bob, you talked about how OpEx came in well below what you guys thought. I thought that was pretty impressive given the fact you had some good sales upside. As you go through maybe not just December quarter, but broadly through fiscal ‘15, what is a more optimal OpEx run-rate for you guys for us to think about?
Bob Eulau: I think you can probably assume we will be in the neighborhood of where I guided for the December quarter, I think that was $65 million to $67 million.
Amit Daryanani - RBC: Fair enough, perfect. Thank you.
Bob Eulau: Yes, thank you.
Jure Sola - Chairman and Chief Executive Officer: Thank you, Amit. Well, ladies and gentlemen, that’s all we have for today. If you have more questions and if we didn’t answer anything, please call give us a call and looking forward talking to you in 90 days from now.
Bob Eulau - Chief Financial Officer: Thanks, everybody.
Jure Sola - Chairman and Chief Executive Officer: Thanks a lot. Bye-bye.
Operator: This concludes today’s conference call. You may now disconnect.